Jan Jenisch: Good morning, and welcome to our Analyst Conference on the results 2019. I'm happy to take the first part for introduction highlights and then Géraldine will go into the details of the regions and the financial results and then we come to the outlook on 2020. Very happy to see you and I'm a little bit proud that we had record results in 2019. If you look at our profit and loss statement, we have basically improved every single line in 2019. And then more importantly we have all taken that to the cash and we had a record cash flow of more than CHF3 billion, which is an increase of 79% and a cash conversion, which I believe is far above anyone's expectation at almost 50% for last year. Happy to fulfill all the guidance and all the targets we gave for 2019, starting with the sales growth going to the EBITDA level where we are also beating our guidance. And then we have this over-proportional development to the bottom line with 32% net income growth and then accordingly earnings per share growth of 29%. Also what was very important for us with the new strategy is to reduce our debt and become a much stronger company when it comes to debt -- multiple debt level. You see we almost reduced the net debt by CHF5 billion last year and achieved completely new financial strength level with net debt-to-EBITDA multiple of 1.5 times compared to 2.2 the year before. I'm extremely happy that gives us the strength for going forward and also the financial freedom to invest or do smart moves when the opportunity comes up. So I think fair to say that in 2019, I think we put the company on a new performance level. And I'm very happy we could achieve this chapter. And now the future we can focus more on innovation on growth and on sustainability. If you -- on the next chart, we see our strategy with our four drivers and you see some of the key achievements and initiatives we have accomplished in 2019. To start with the growth, we have had eight bolt-on acquisitions, which is double number of 2018. And good to see that our countries are feeling not only the bolt-on pipeline, but also executing here. We have if you notice even we had a record free cash flow we spent a bit more money on investments, because we see quite some opportunities in our market of building materials, which is substantially growing based on the global mega trends of population growth urbanization, but also on the demand of higher living standards and also of more sustainable solutions. We have on simplification and performance, I'm happy to report our operating model is fully established. We have promised and we have delivered on the SG&A cost-saving program from the corporate centers we have, but also from the countries and achieved here a saving of above CHF400 million. Also we said we're going to empower and grow not only in cement, but also in the other segments Aggregates, Ready-Mix Concrete and Solutions & Products and we delivered growth and especially growing profitability in all four business segments. Financial strength, I mentioned already I'm very happy we have now such a new level of financial strength with this significantly lower debt level. And keep in mind, we have not closed the Philippine deal yet, which is a significant deal for us and we are in the final stages of the local approval process and this will come on top of this. On the people side, also here our new operating model with very strong profit and loss leadership is fully established. We came from an organization where we only had 100 profit and loss leaders. Basically the country has and now we have a very clear one responsibility for all the businesses including Aggregates, Ready-Mix Concrete, Solutions & Products and we have now more than 400 fully responsible leaders. Here's the overview of the bolt-on acquisitions. You will notice that they are all in mature markets. This is the nature of these bolt-on acquisitions. They are happening in markets, which are established. They are not happening in Cement. They are happening in Ready-Mix and Aggregates and Solutions & Products. And we have eight deals we have done in 2019 and they are from Australia, Europe to North America. We will continue this. I -- we have a target of increasing the number of deals for 2020 and maybe one deal per month is a good run rate for our company. Sustainability. I think it's fair to say that 2019 was the year of sustainability. There was not one single day where we didn't have articles. And it's -- I think it's a call for all companies for action, because this demand is broad-based. It's not just Fridays for futures, for governments. It's from the investor side. It's from our own children. And maybe not to forget it's from our own employees. Our employees they ask to be a more sustainable company and have a real purpose to be there also in the future and be part of the solution and not part of the problem when it comes to sustainability, no matter if it's global warming or if it's air pollution or if it's other aspects of the environment. We -- I think we were always a very solid engineering-driven sustainable company, improving our footprint year-on-year. However, I think we realized last year this is not good enough we have to accelerate our efforts. And you can see on the charts that we really I think accelerated from mid-2019, not only with creating the position of a Chief Sustainability Officer, but engaging in carbon capture projects and launching the first carbon-reduced or carbon-neutral products in cement and concrete, very exciting the opportunities we have to be here part of the solution for building products and building solutions in the future going forward. I'm proud that we could join the Science-Based Target initiative. That's for me one of the key initiatives, not only to certify that your goals have a roadmap behind and actions behind. It's really a good thing to do for a company like ours and I'm very happy that we could join here the team also in 2019. A lot more will come here. I think we have also the road map in the presentation. First, we have the results. Last year, you see we have these four pillars as part of our target framework. We have the CO2 per tonne of cement. We have the waste reuse in our factories, in our products or for energy. You see this is up more than 4% last year. Water saving also something you want to accelerate in our plants. We made already quite a step last year with more than 5% less water use compared to the year before. And then we operate a lot of community projects where we try to be closer to the communities. Especially in emerging markets, we do a lot of education. We are building nurses in India. We are operating some of the hospitals or clinics in India to help the people we are basically living with. So we made quite some progress. But I think you can expect much more from us in the future. This is illustrated on the next chart where we show a little bit the road map. One part is getting our factories more efficient. You see this here we still have a lot of projects to do for waste heat recovery automation, but also for less clinker in the cement. And then we go into much more aggressive things like carbon capture or new products carbon-neutral products, but also more alternative fuel in our factories. So very exciting. That's part of our Science-Based Target initiative and you will -- can expect from us that you will see much more action and much more progress in this year and the years to come. We have on health and safety that's a bit concern for us and we have here made big improvements. You see here that one of the top KPIs for us is lost time incidence frequency rate and you see how much we progress here year-on-year as safety is key for us for our employees and their families. And here we're also improving here year-on-year. Brings me on my last slide, I think, we made two years ago. I was meeting with most of you when we launched Strategy 2022. And that was a new strategy for us maybe a bit of a new strategy for the industry and we had a lot of discussions since then. And I think we can see now we progressed in the right directions. You see that we are already achieving or are close to the targets we set for 2022. So on net sales, we are in the window for the growth. Same on the EBITDA. On the cash flow I would say we are clearly above and we have now the confidence to say this is not the one time we have now created a new performance level and you can expect cash flow generation within the targets already for 2020 and for the years to come. Return on invested capital you were always very concerned. We don't earn the cost of capital. While we do this now for the first year we did it in 2019. You see also the progress we make. And you can also expect here that we will not stay still at 7.6%, but we want to go of course ahead of 8% as we promised two years ago. I think with this introduction, I'm very happy to turn over to Géraldine and she will give you more details on the results.
Géraldine Picaud: Thank you, Jan. Good morning, everyone. We will now go into more details on these excellent results that the group has achieved for 2019. So our net sales growth reached 3.1% on a like-for-like basis mainly driven by the good focus on prices. In line with our commitment our recurring EBITDA was over proportionate at 6.5% like-for-like, reflecting here the overachievement of our SG&A cost-saving plan and also the good monitoring of our operating costs. Bottom-line, we are very proud to report a total growth of 29% of our earning per shares before impairment, divestment and IFRS 16 which amounts to CHF3.4 per share. Let me remind you that we use this adjusted KPI in order to ensure full comparability and to better reflect the economic performance. So the strong result has been achieved not only thanks to the recurring EBITDA growth, but also thanks to the strong improvement on our restructuring, financial and tax expenses. On a full IFRS reported basis, our earnings per share is higher at CHF3.69 per share and that is coming mainly from the capital gain on the divestments that we've made. In terms of free cash flow generation you can see here all the very positive effects of the actions that we've implemented in terms of monitoring the working capital, but also reducing the financial and the tax expenses. And all these actions have allowed us to overachieve the 2022 cash conversion target of 40% as we are now close to 50% or generated more than CHF3 billion of free cash flow, up 79% compared to last year. Let's now move on to our global footprint and to the volume performance per business line. So in Cement our volume grew 0.5% on a like-for-like basis. Europe recorded a strong volume growth, notably fueled by Eastern Europe market trend. North America recorded an excellent volume growth of 5.3% driven by the very, very favorable trend in the U.S. Latin America recorded a decline by minus 1.5% in the volume shipments due to the soft market in Ecuador and Mexico that was partially offset by strong demand in Brazil. APAC delivered flat volume with a good contribution of India that was offset by the difficult environment in Malaysia and in the Philippines. In Middle East Africa, we recorded a slight decline in volume shipments at minus 0.8%. But this is a contrasted situation between countries where we are in an oversupply situation and countries where we recorded strong demand conversely like in Iraq [ph]. Aggregates business segments recorded actually flat volumes at minus 0.3% with a very good trend in the U.S. and Canada East and also in countries such as Brazil or China. India offset the shortfalls of Australia in Aggregates. And in the end EMEA also had a soft environment in some countries for the aggregates. Our Ready-Mix Concrete business line recorded a decline of minus 2%. This is mainly attributable to Mexico soft environment. But we had a very good trend in North America, which continued to grow while Europe remained flat. Let's now turn on to our net sales. Our net sales stood at CHF 26.7 billion. The organic growth of 3.1%, represent CHF 832 million of additional revenues that are mainly attributable to the good focus on prices. The scope, the negative scope effect that you see here is mainly driven by the divestment of Indonesia and Malaysia that we completed in H1 2019. And the negative ForEx impact that you see here is coming from the Argentinian peso, the Indian rupee, the euro and the British pound that all depreciated against the Swiss francs in 2019. Let's now move on to our recurring EBITDA. And in total, our recurring EBITDA has increased by 2.3%. This is composed by a negative scope effect of minus 1.4%, a positive organic growth of 6.5% and a negative translation effect of minus 2.8%. So, the negative scope impact of minus CHF 84 million is mainly attributable to Indonesia that we sold in January 2019. The negative ForEx impact of minus CHF 165 million is also attributable to the Argentinian peso, the Indian rupee, the euro and the British pound. The organic growth of 6.5% represents in value CHF 386 million and this is almost attributable to price over cost for CHF 398 million. And it's stemming from several factors. The first one is our SG&A cost-saving plan. We achieved CHF 217 million of SG&A cost saving in 2019. Let me remind you that in 2018, we already achieved CHF 186 million of cost savings. And of course all these amounts are net of inflation. So all in all, we generated CHF 421 million of SG&A cost savings compared to 2017 at constant scope and constant rate. Secondly, despite inflation or average price increase of 2.8% and the good monitoring of operating costs leaves us with a positive CHF 116 million of price over cost in our majority-owned businesses. The JVs are adding on top CHF 65 million. Let's now move on to the performance per business line, and let's start with Cement. Cement recorded net sales, up 4% on a like-for-like basis driven by the volume growth of 0.5% and price increases of about 3.2%. The Aggregates business line recorded net sales, up 3.5% with volumes that were flat, but with price increases up to 2.7% and other revenues of 1% up. On Ready-Mix Concrete business line, we had flat sales with the decline in volumes of minus 2% and price increase of 1% plus a geographical favorable mix of 0.7%. Solutions & Products record a stronger operating -- as you can see a strong recurring EBITDA growth here at plus 20% and this is mainly stemming from the turnaround of our precast business in Australia. Let's now go directly to the regions and I would start with North America that delivered a strong set of results for 2019. You can see here net sales were up 4.9% and recurring EBITDA up 4.4% with volume that grew in all segments, especially in the U.S. The macro environment actually was quite favorable in the U.S. and in Canada East while Canada West was softer on the back of the economic slowdown in the prairies. I think very good to note is the Q4 as we are here a return -- showing a return to over-proportional growth of our recurring EBITDA over net sales. Let's now turn on to Latin America that delivered a resilient performance in a context of soft markets in Ecuador and Mexico, which you know are our key markets for Latin America. So here we are showing sales growth of 2.6% for the year and a recurring EBITDA decline of 1.7%. So as I said, the markets were softer in Mexico and Ecuador but that was partially offset by a very good performance in Colombia and in Salvador. And we constantly did an effective cost and price management in all the markets of the regions. Let's now move on to Europe and Europe has an excellent set of results with a very strong growth of the recurring EBITDA of the region at plus 10.2% almost more than double the growth of the net sales. So the growth in -- the strong activity of the region has been fueled also by Eastern Europe and Central Europe that has quite a lot of infrastructure spending. We had also large projects in France and higher prices in Germany while the UK proved to be resilient. So strong margin improvement driven by operational efficiency conducted to that great performance for Europe. Let's move to Middle East Africa where the markets were more challenging. As I said, there are some markets that are oversupply as Algeria as Egypt. But nonetheless, we noted some fairly strong demand in countries such as Iraq and Eastern African countries. All the good progresses we made in turning around have actually partially offset all these challenging market conditions. And I would like you to note that we are ending the year for Middle East Africa with a stable recurring EBITDA. Asia Pacific, a very good and strong improvement here in our profitability. As you can see net sales up 2.5% and like-for-like growth of recurring EBITDA is up 14.2%. A large contribution of India and the increase of profitability of the region, to be noted, also all the turnaround actions that we initiated in Australia paid off and partially mitigated, the economic slowdown of the country. And we continue to benefit from a solid contribution, from China. Let's now go to our full P&L here. And as usual, we present our P&L, before IFRS 16, excluding impairment and excluding the capital gain, on the divestments. For IFRS 16, we have elected to adopt, the modified retrospective approach, which means, that 2018 numbers are not comparable to the 2019 published reported numbers. This is why in all the documents you see, the 2019 numbers pre-IFRS 16. So if we look at our net income, pre-IFRS 16 before impairment and divestment, it is up CHF569 million. And this is coming from several factors. First one is, of course the increase in recurring EBITDA, by CHF137 million, that we've already commented. Second one is, the decrease in depreciation and amortization, of CHF139 million, that mainly stems from the scope effect or the divestments, that we've done. Then you can see also the very strong progress on the restructuring, litigation and others. Actually, restructuring costs have decreased by CHF200 million, as our SG&A cost-saving plan is now over. Then, the net financial expense has also reduced by, CHF240 million. And this is coming, thanks to the deleveraging, but also thanks to the refinancing transactions, that we have made, for the last two years. Tax or effective tax rate is down 26%. This is mainly attributable to the decrease in the income tax rate of India, by 10 percentage points. Let's now go to our, record free cash flow. Free cash flow has a record ratio of being half the recurring EBITDA. And this record performance has also been achieved, thanks to better working capital and better inventory management. Compared to 2018 for instance on the inventories, we have managed to reduce, our inventories by more than six days of sales, down to 36 days of sales. This is our new standard. And you know this was also one of our priorities. Now let's look at, our income tax paid. They've also reduced by CHF76 million. And this despite the fact that the underlying result is higher. And actually some exceptional reforms and also use of tax losses have allowed us to present here, a cash tax rate that is lower than the effective tax rate in the P&L. If we now look for -- to our net financial expenses, you can see also, that they are down CHF375 million. That is even higher than, in the P&L, mainly thanks to some exceptional reforms. So all in all, we generated more than CHF3 billion of free cash flow. That is 79% up, compared to last year or CHF 1.3 billion higher. Let's now look at our net debt. Our net debt amounted to CHF 8.8 billion, as at end of 2019. That corresponds to a leverage of 1.4 times, which is much lower than and better than 2 times. So this is also a reduction of CHF4.7 billion. And it's stemming from firstly, the free cash flow, that we've already commented, for more than CHF3 billion. And let's get it that our free cash flow is with everything, all CapEx, just to remind you to be clear. And then, we had benefited from some of the divestment we made for about CHF1.8 billion debt reduction. Then you can see on the dividends, we have paid out CHF444 million, that's about CHF900 million lower than the years before. Thanks to the huge success of the scrip dividend. And we have done another hybrid transaction, in 2019 for CHF500 million. That puts our hybrid debt up to CHF755 million, which is recorded as equity, under IFRS. Let's now move on to our leverage. We have reached a new level of leverage. We have fully executed, under the financial strength pillar of Strategy 2022 and restored firepower. This has been achieved in a record time. As you can see, that in 2017, we were 1 time higher. Let's now move on to our, return on invested capital. You can see here also, the strong progress, as we are now at, 7.6% above our weighted average cost of capital. This has been achieved, thanks to higher return on our assets, driven by higher profitability, lower tax rate. And also thanks to the CapEx discipline, we are having instilled -- we have instilled in our group. So this leads me to be very happy to propose to the AGM, dividend of CHF2 per share. That's a cash dividend. And please note that, it will be fully paid out of the foreign capital contribution reserve. And that means it's not subject to Swiss withholding tax gross equivalent. Before handing over to Jan, for the outlook, let me introduce you to our new profitability metric. So you know that recurring EBITDA was historically our profitability KPI. But this KPI was not including all the efforts we made to optimize our CapEx, which for us is an issue. And more of under IFRS does not account the operating lease cost. They're not in EBITDA. And we believe that we need to manage our country leaders or P&L leaders, with all the costs that are relevant to their activities. This is why we have decided to switch from recurring EBITDA to recurring EBIT. And that is to report our performance, but it is also to incentivize our management going forward. We of course keep the guidance of our Strategy 2022 which was at least 5% recurring EBITDA growth per annum. We add to this a target of having an increase of depreciation and amortization limited to only 1%. That means that it's far below the sales growth and far below the recurring EBITDA growth. And this is equivalent to guide for recurring EBIT growth target of at least 7% like-for-like basis per annum. Thank you. Jan?
Jan Jenisch: Yes. Thank you, Géraldine. Then, I'd like to conclude with the outlook and the targets for this year. We expect solid markets for 2020. And I'll speak about the coronavirus in a moment. So, we see at the moment in Europe, we have very good demand in Europe. We have started the year well and have very good order books. We also have no slowdown yet. We have to see if the corona becomes more serious or will develop in parallel with the situation in China. But at the moment, we are running at full speed in Europe have started very well. It's a similar situation as in North America, where we also have a strong demand and very healthy markets, starting the year and we expect this to continue throughout 2020. In Latin America, we had not an easy year last year. We of course, we have fantastic companies in Latin America, great management. So even in difficult environment, they bring very resilient returns as you have seen before in the regional overview. For this year, we expect better markets in Latin America. We have some infrastructure projects have kicked off and we expect here a more favorable market environment and also then better results for LafargeHolcim. A bit similar to Middle East Africa, we had a very tough 2019. Nevertheless, you have seen before quarter four was already I think a turning point. We have great action plans in place to turn around the situations. And also here, I think you can expect good results or improving results from Middle East, Africa. In Asia Pacific, we have -- in India I would say very favorable market. We will see good demand growth in 2020. And you have seen our -- as Géraldine mentioned, we made good progress on profitability in India and we have the same in the plans for 2020. Australia is a bit in I would say in a softer recession in construction. Nevertheless, we also here have a very resilient organization. And also here, we expect good contribution in 2020. A bit more difficult is the situation in China and maybe I'll just share with you, how the situation is. For us, first of all, China is a local market. We don't have cross-country supply chain issues or something. So, the slowdown we have in China construction due to the coronavirus is for us a local market issue. Situation at the moment is that, we are operating most of our cement plants again. Government is trying to support or encourage the companies to go back to business. However, we have still a big slowdown on the construction side, where the workers are only coming back very slowly. I honestly expect that we have a stable normal situation back in May this year. This is also I think the forecast we see from the World Health Organization at this point in time. We're very happy that, we put our own measures in place since January 3 already, where we have central guidelines, how to travel, how to do hygiene and how to prevent any infection for our own employees and families. We have until today, no reported corona case at LafargeHolcim. So, we're talking about 72,000 people. We don't have any case as of today in the company and we want to keep it this way. So, what are we doing going forward? Think a global company like us has to be responsible for traveling because the virus is actually only traveling with human beings. So, a global company would be the prime source for spreading it. So, we have now very strict travel regulations. We do a lot of video conferencing in the next couple of weeks and not try to act not responsibly. Here that works again very well at this point in time. We have no reported infection. We are very proud. Our employees are very proud. We take those actions at such an early time and that is how it is. We don't see any slowdown in the other regions outside of China. Again, we have good order books and we have -- you can say we had a very good start of the year and that is still ongoing and all construction sites are operating in Europe in North America and Latin America and India in Middle East Africa. So, I have nothing controversial to report to you today. However, we will update you anytime in the future if this will be changing. For the impact on our local business in China, I think it's not the right time to put any financials on it. If the forecast becomes true that we have a normal build environment in China again in May, we can debate, if we lost two or three months of sales or something, we don't know yet how much the catch-up will be. We have to also see that January, February are very slow months in construction in China due to the weather, but especially due to the Chinese New Year. So, we have not lost much volume at this point. And we will see probably in May how the effect is. I'm quite confident, if we don't get a pandemic crisis globally. We have very strong markets outside of China and I'm very positive on 2020. With this, I come to the guidance for us. I think we have set the targets first of all according to Strategy 2022. So you see the net sales growth, 3% to 5% according to the strategy. Also the recurring EBIT now stepped up to a minimum of 7%. You remember the EBITDA target in the strategy was a minimum of 5%. Now, fortunately that translates to a higher growth on operating profit and if Géraldine works well, also over proportionally on the net profit. We are then very happy to see this new performance level especially on the cash flow side. This is not a onetime effect. We had a huge contribution to the cash flow from 90% of our countries and companies and we see this continuing also in 2020. So we see a cash conversion of 40% as a target for now and also for the years to come. On the balance sheet, especially the debt leverage we want to stay strong. So we want to stay clearly below two times net debt-to-EBITDA and not go back to any other result. To do this we can also confirm that CapEx and bolt-on acquisitions will stay somewhere below CHF 2 billion for 2020. I think with this we can close the formal presentation and I'm very happy to have your questions and comments.
Q - Arnaud Pinatel: Arnaud Pinatel from On Field Investment Research. First of all congratulations for the free cash flow generation. It was a good surprise and impressive. But it's also obviously raising the question of the cash allocation. And I guess the market has expectation about LafargeHolcim repositioning at least partly. You had a vision for the group to marry Cement and Construction Chemicals with a potential bid on BASF. It has not been achieved. So the question is what are the alternatives? We can see more and more focus on new concrete carbon-natural concrete. Do you need construction chemicals to achieve carbon-neutral concrete? Do you need to marry cement and chemicals? What are the alternative? Could you consider JVs with some of the chemicals companies? Do you really need to be integrated fully? It's all the question I guess I have in mind regarding the construction chemicals. And beyond that, could you share with us what is the number of targets currently under review at LafargeHolcim the size of – of a similar size of what was BASF Construction Chemicals? We are impatient to see your repositioning really.
Jan Jenisch: Very good. I'm on the same side. I'm also impatient to see. Just to put a bit in perspective I'm very happy now we have a new performance level and we can prove to you that the strategy we presented to – exactly two years ago was not something for the gallery but we really delivered now a new performance level on margins, on cash, on debt. So this is done. And now we have to come to the next chapter for the company, which has to be closer to the customer, more solutions, more products and we will do that. So we are looking actively under Solutions & Products. That's quite a wide range of possibilities and you can expect from us some move there in the future. However you have to give us some time. We are not doing silly deals. So we are very financially disciplined. So every deal we make has to create value immediately for our shareholders. This is why sometimes we say no to a deal. And so we are actively looking for segment. The bolt-ons they are more in the traditional segments of Ready-Mix and Aggregates. And here we did eight deals last year. I think for this year we try to do one deal a month. So maybe you can expect that we do 12 bolt-ons for 2020.
Arnaud Pinatel: And sorry to what extent do you need construction chemicals to provide new solution on the carbon-neutral concrete on any solution and innovation that could reposition the foundries?
Jan Jenisch: That's a bit a secret. But...
Arnaud Pinatel: That's the reason I'm asking you obviously.
Jan Jenisch: But I mean obviously the case that in construction chemicals the companies have been very successful in the last years. And we should not forget that the construction market, the building material market is a growing market. So we have from the world population growth, urbanization, more sustainable solutions are demanded and the people want to have higher standard of living. So construction is actually is a great business and a great market. And we have to position LafargeHolcim in a way that we can better benefit from this natural structural growth we have in our industry. And that's our main task. And we – I don't want to directly answer your question if this has to be construction chemicals or it can be other areas of products there. Quite a few application areas we're looking at and...
Arnaud Pinatel: And like for example modular construction or prefabrication that could be also this type of...
Jan Jenisch: There's so many. We have to have a private conversation. But it's clear and we said this in the strategy two years ago we want to grow Solutions & Products and this is something we will deliver. However, realize we just took the first 1.5 years with the strategy to come to a different performance level and now we have the freedom to do something.
Arnaud Pinatel: Thank you very much.
Remo Rosenau: Remo Rosenau Helvetische Bank. Focusing on the very important line of work of Géraldine, which is of course a driver for future EPS growth on the financial side. I mean looking at the significantly reduced debt levels number one, and number two on the continuously decreasing average cost of debt. I mean you still have a lot of old debt with very high costs where do you think that the financial result could go over the next two to three years? I mean we've seen about CHF 150 million to CHF 200 million less financial costs this year versus the prior year but there is much more to come I guess. And so could you share that with us?
Géraldine Picaud: Sure. We will definitely continue to improve on this line on the financial expenses. So we are targeting another strong progress for 2020 not to the magnitude of CHF 240 million but we will progress we'll continue on that. You’re right that will continue beyond 2020.
Remo Rosenau: So what is your average cost of debt right now?
Géraldine Picaud: It's around 3.2%.
Remo Rosenau: 3.2%. And if you do a new refinancing now what do you pay zero-point-something?
Géraldine Picaud: Yes. No I'm not refinancing every day. We have a plan. We have a road map. Just believe me when I tell you we will get down our financial expenses again this year, you'll be happy about it and the years to come.
Remo Rosenau: Okay. And do you have meetings with rating agencies in order to tell them that now you could probably get an upgrade?
Géraldine Picaud: Absolutely. You're totally right. I think we – I don't want to speak on behalf of rating agencies. But we will certainly make them note that we have a super new level as Jan mentioned, new level of financial performance including a new level of debt a new level of leverage and they should take note of it.
Remo Rosenau: Great. Thank you.
Jan Jenisch: I'll just go ahead. I don't have the overview.
Jean-Christophe Lefevre-Moulennq: Jean-Christophe Lefevre-Moulennq, CIC Market Solutions. I have two question but best for Jan. It's a difficult question. This is what you told us about Middle East and Africa for 2020, an improvement. How can you improve with that of competitive situation first in Egypt with the Army plants? Secondly BUA in Nigeria. And the third difficult subject ARM in Eastern Africa, Tanzania and Uganda, et cetera, et cetera. How can you manage this? I think you tried to pass EGP80 price hike some months ago, but it was not apparent due to the difficult situation. How can you do this this year? And secondly India. Could we have more flavor in terms of price hikes announcement for this year as 2019 was a relatively good year? Thank you so much.
Jan Jenisch: Yes. No, thank you. I think on Middle East, Africa, you are -- I mean you are correct with your observation on the markets. But you have to see that we went down quite a bit in the last two years. So, I think it's fair to say, we have -- we are now at the bottom of the results and we have already started with a turnaround plan in 2018. So, we see now strong results. You see that in the Q4 results already for Middle East, Africa where we had a stable result. And you -- we expect a lot from the management in Middle East Africa to show above-market performance in 2020.
Jean-Christophe: In India?
Jan Jenisch: India is a great market. We were -- I think we were very unhappy to be in 2017-2018 and we had cost inflation mainly from energy where a lot is imported weaker rupee and so on. So, we had a strong recovery plan which came into 2019 with some over-proportional increase in profit. And this will I believe strongly continue into 2020. I think we have just started to go to an acceptable profitability level in turn.
Tobias Woerner: Tobias Woerner from MainFirst, a Stifel Company. Two questions if I may. Number one, obviously, the free cash flow generation was very good so congratulations. Having said that, looking at the structure of your company how the cash flow flows to the top, how do you intend to manage that? Because a lot of these companies have dividend payouts rather than full cash control. You've done a great job in Nigeria in turning or restructuring it there, how do you think about it? What are you going to do about it? The second question is a more general question. You've looked at BASF Construction Chemicals which was already quite a sizable capital outlay if it had happened. Do you feel comfortable to do deals of that size and possibly even bigger at this point in time?
Jan Jenisch: I take the last question and then maybe Géraldine can tell us about the cash flow more in detail. I think we are happy with the bolt-on acquisitions when we talk about traditional fields of Aggregates and Ready-Mix Concrete. It's also fair to say that for Cement, we have a great footprint. You don't have to expect that we make any big movement in Cement M&A. When it comes to Solutions & Products, we are very excited if the right opportunity comes up. Some people say we looked at BASF Construction Chemicals. And -- but it has to be the right fit. So, we have to be convinced the payback is on the right level and the integration plan is feasible. And then we decide and we are very excited. We have a few companies we like to look at and hopefully, we can report something. Obviously, we have now the financial strength to do something which we didn't have maybe two years ago.
Géraldine Picaud: I think your point was on the how we managed to repatriate all this cash. And we have repatriated more than CHF2.9 billion of cash from the countries to the group to cooperate. That is done through effectively dividends but also through group charges or repayment of internal loans. And that is done as -- with the maximum optimization from an earning per share standpoint.
Jan Jenisch: I think if I can add I think on the cash flow we had a fantastic 2019 almost 50% cash conversion. And if you look at the details we basically improved every line of the cash flow definition. And you can now say okay net working capital the countries did very well on inventory management so maybe you don't get that delta again in the coming years. But on the other aspects, less tax, less finance expenses, less restructuring. That will continue. So, that's why we are confident to now change the target for cash conversion already for 2020.
Unidentified Analyst: Thank you. Martin [Indiscernible]. My two questions. First, can you give maybe a high-level answer about the CO2 impact for the European landscape? What do you see for the whole industry closing down of plants price developments? And what do you see for Lafarge? Do you have to kind of close down plants as well?
Jan Jenisch: I think on CO2 it's -- I think it's an exciting opportunity. So, we had a situation where the CO2 price was only €6, €7 for many years. And only two and a half -- two years ago it changed and it stepped up to €25 which enabled us to do investments because you will see this in the price of Cement and we saw already in 2019 very good pricing in the core markets in Europe. And we have launched the new CO2 reduction investment program last year of CHF160 million to further reduce CO2. And at €25 per tonne of certificate price these are very good investments. At €7 there's no short payback time. So, the CO2 the regulation we have at the moment I think is very good for the industry. I even prefer that the CO2 price comes further up to give us enough incentive to innovate and for price increases. I think the game is really to have the right footprint and the right innovation to be ahead of the competition and then you can benefit from CO2 whatever direction it goes. And this is what we try to do.
Unidentified Analyst: But -- okay. You announced some CapEx there. But do you only need to improve some plants? Or do you also might have to close plants?
Jan Jenisch: At the moment -- I mean we have 35 plants in that regulation map, yes, which is a big advantage because we can now optimize the network compared to maybe other companies who have less network. So, that's one thing. And then we have the investment program to bring down the CO2 emission per tonne. And then, of course, we have other activities like to make fundamentally lower carbon cement and lower carbon concrete. So, we have a lot of measures in place and we need CO2 pricing and the regulation to make this attractive for the returns. So, whatever happens, we have a very strong game plan to play.
Unidentified Analyst: Okay. Thank you. And the second question you were showing this price over cost chart. And I was just wondering for this year and then looking at oil prices, energy prices coming down if you can even see higher contribution for this kind of improvement in this year.
Géraldine Picaud: Well, shall I take it?
Jan Jenisch: Yes please.
Géraldine Picaud: Yes. On the energy price, we think it's probably going to be a tailwind, but there is electricity as well. That matters in our energy cost. So overall I would stay flat for 2020.
Unidentified Analyst: So flat cost flat but...
Géraldine Picaud: Flat energy cost. That -- yes.
Jan Jenisch: I think overall the CFO is always a bit conservative. But when you look at our guidance, we guide for over-proportional EBIT growth which indicates that we have quite some action plan for a few efficiencies for some good pricing. And at this point in the year, we are quite confident that we will deliver this.
Géraldine Picaud: Absolutely.
Bernd Pomrehn: Bernd Pomrehn from Vontobel. You mentioned net working capital as a main or as one of the main drivers of your excellent free cash flow generation last year. We had a positive cash inflow from inventories receivables and payables. How should we think about net working capital development going forward? Is it now as good as it can get? Or do you see further potential to improve?
Géraldine Picaud: No. I personally see that there is a little bit of potential to improve. But we've done as you noted a lot. We've done a lot. Its 10 days and it mainly comes from inventories and receivables. So there's always a way to improve not in this magnitude as Jan mentioned. But of course this is our new level of standard for working capital for organizations or financial performance. So we will -- I guess we will slightly improve.
Cedar Ekblom: It's Cedar Ekblom from Morgan Stanley. I've got two questions. Can you talk about the potential for further asset sales? In the past you've alluded to other parts of your portfolio which you would potentially consider non-core. And then the second question again to CO2. The CHF 2 billion of CapEx that you've guided to in the near term that encompasses your CO2 mitigation strategies, can you talk about on a more medium-term view where you think CapEx needs to go to actually make a step change in your CO2 emissions? Because ultimately that 550 number that you've put out there is still pretty high. And can you also talk about how you think about the return on these investments? Because you say that a high CO2 price incentivize investments which is a good thing. But at the end of the day the investments that you're making are simply offsetting a cost. They're not actually adding to the potential earnings power of the business. So we have an inflated capital base, but not necessarily a larger earnings line going forward. And so it's potentially negative for the return profile of the business on a long-term view. How do we see the price of cement go up to offset that investment not just the cost?
Jan Jenisch: Yes. That's the key principle I think. So I think any CO2 view you have has to have incentives or regulation which has to be compensated by pricing. So if you are as a company you're a frontrunner you will always benefit. So at the moment, we are engaged for example in 5 carbon capture projects to be on the very step change as you said. And we're starting pilots to do that. With the technical solutions we have at the moment we would talk about significant price increase. Cement will maybe double or triple in price in the market. So we have to not only view investment. We have to also view then the return. And all these investments will have a proper payback. Otherwise you wouldn't do that. And we have to keep in mind that there is the growing demand for building materials and solutions. So it's nice to say we don't want to have CO2 from cement. But at the end it's the most sustainable building material. It's not a final product. It gets final in concrete and then the CO2 emission is on a much lower level. And we will first of all work on solutions to reduce that footprint drastically. And the most massive step would be, if you do a full carbon capture but also carbon use and that will trigger tremendous cement price increases which we will see what happens. At the moment I think it's important. 2019 I think was the year of sustainability. And the pressure we have now let's say, the demand is not only limited to Fridays for future. It goes from government to investors to your own children to your own employees. So I think there's no point for us to deny this. We take this now to accelerate our efforts like I described a bit in my presentation and you can expect from us a lot of initiatives now to be ready for different steps. And then we have to see how regulation how that all will play to enable us to do it.
Cedar Ekblom : And then on the asset sales the changes?
Jan Jenisch: On the asset sales, so first of all I'm really very happy, when Géraldine and me arrived in the company we grew our negative credit outlook. That was not a very good position to be in. And then we started a number of actions from hybrid bonds to stop the share buybacks scrip dividend and also the asset sale. And it all works out together to much better than we expected in the beginning. So we are now in a very strong situation. The 35% reduction in net debt does not include the Philippines yet because that deal is not closed. So we are still working here on the final steps. If that will be closed we are even another 2/10 lower in debt multiples, so very strong situation. That also means we have no pressure to sell anything which is always important because what we did in Southeast Asia, I think was very much appreciated by you. And of course by us that we're getting very rich multiples and that's the kind of deal we want to do. So we don't want to make any desperate deals and we are now in a position to fully follow up. So that's why at the moment you cannot expect any major deals besides closing the Philippines. Any more questions? No more? One more question here.
Remo Rosenau: At the analyst conference of CCAR they made comments about new products being introduced reducing the CO2 content of concrete and mortars. Also by replacing the cement content or reducing the cement content in a given square cubic meter of concrete and also in mortars wouldn't that be kind of negative for you?
Jan Jenisch: I'm not really -- I mean that's the same direction we are going with the innovation. I think, as us, where cement is still a significant part of our profit, we have to get away from the pure produced clinker cement. So the original cement produced, we have no interest to grow that, that is the wrong direction. So, also, our efforts for solutions products, but also for our own ready-mix is, of course, to reduce the original clinker content in the final product. And at the end of the day, you get -- we have a much more high value-added product at a much higher price and margin, than just to reduce yourself to be a simple provider of original cement. So I'll give you one example. When you look now in Switzerland, we launched a fantastic product Susteno cement. That's the first cement using recycled material inside. So we have a product where 19% is recycled concrete. Concrete can be fully recycled and that will be grinded and mixed with our product. We mix some other minerals inside. And we only have 52% of original fresh cement clinker in that product 48% is CO2-neutral by-product, amazing product. And Switzerland is very ahead in sustainable construction, actually globally. So they gave us the full approval for that product to launch in the market, also for structural applications. So, very exciting. So we love to work on this and maybe, we even -- you find some projects we work with Sika or other companies, or maybe as the colleague proposes, we do some chemicals ourselves. So that's the direction we will go as a company.
Arnaud Pinatel: Thank you. Sorry, just to follow up on the certification and the norm. Do you see European Union promoting the solution quickly? Because it looks like at the national level, you have some enthusiasm that the European level is not as convincing at what it should be in my view. So, how fast do you think you can promote the carbon-neutral concrete?
Jan Jenisch: No, it has to come, right? You cannot just talk about CO2 reduction in buildings and then you don't allow the building codes to be changed. And Switzerland is very fast. So we have very good experience here to approve our new product and then also the CTC are very active to only use our Susteno, use our recycled concrete, our Avopact [ph] solution. And you are right, other countries are not that fast, but they have to come. Important for us is that we are ready. We are ready with the product and the solution. And then, comes back to the CO2 question we had before. And once the regulation is there we are ready to play.
Arnaud Pinatel: And so I guess you are lobbying actively to promote new certification?
Jan Jenisch: Yes, yes.
Arnaud Pinatel: And so, you cannot help us to understand the time frame of when things should move quicker, I would say?
Jan Jenisch: I can't speak on behalf of the government. I can just say we have a lot of demands popped up in 2019. When I look at the CO2 regulation we have today, works very well for our company. I think, it should be tightened for the future to really reduce carbon and we are ready to go there. But the governments have to play their roles.
Arnaud Pinatel: Thank you.
Jan Jenisch: We have two more questions, over there.
Unidentified Analyst: Sorry, just to follow up on your comment that pricing needs to grow up in order to justify these investments that need to be made. Can you talk about what percentage of your clients are actually looking for these small carbon-neutral carbon-friendly products? Because at the end of the day cement is still quite a commoditized product and the industry and Europe has lower utilization rates. So while you can talk about potentially some product and price increases and that offsetting in the investments and justifying returns, et cetera, the bulk of your business is still commoditized run of the mill cement. So when do we get to a situation where significant investments that need to be made actually create a payback, where you actually get a return that goes up? Are we talking about 10 years from now when the industry has actually gone through a normalization process and the weak hands have been flushed out, et cetera? I mean the bull argument that everyone's pushing is that, CO2 is going to push the weak hands out. But I just wonder, how long that actually takes. And Lafarge will be there in the end, but is there a period of say three to five or even longer years where the industry normalization actually needs to happen? How hard is it going to be before it gets better?
Jan Jenisch: Depends on the regulation and the incentive framework put in place by the government. So at the moment, with the framework they have now, not much will happen to be honest, because the consumer, what you mentioned, who select our new Susteno product or our Avopact [ph] concrete and then it costs 10% extra, there are not so many house builders, for example, willing to pay that. And so, we have to have a proper regulation, like, we now, for example, Switzerland made a big step. But this will come. It will take time and I cannot say if it takes two years or five years or 10 years, but we will move there and we will be ready to play. You had a question there?
Unidentified Analyst: Just a question for clarification for modeling. Recurring EBIT, which is now the new measure, is it correct that the starting EBIT 2019 post-IFRS 16 is CHF 4.012 million?
Géraldine Picaud: You've got a minor difference with the EBIT pre and post. That's why also we elected it. And so, it's around CHF 40 million. Yes, yes.
Unidentified Analyst: And what would have been the growth in recurring EBIT for 2019?
Géraldine Picaud: I cannot tell you that information, because it just mean that we have done all -- or 2018, they are pre IFRS 16. We cannot restate 2018 on something post. We've done it for 2019 to set the base and now it's about looking 2020 and onwards.
Unidentified Analyst: But from quarter one you will only show recurring EBIT for regions as well.
Géraldine Picaud: Absolutely.
Unidentified Analyst: Okay. 
Jan Jenisch: Any more questions at this point? If not, we'd like to invite you for lunch. We also brought our region heads with us. So we have Miljan for Middle East Africa with us. We have Marcel for Europe. We have Oliver Osswald for Latin America, René Thibault for North America, Martin Kriegner for India Pacific; myself, I do China. And we also have our Chief Sustainability Officer, Magali Anderson over there. So they will all be there at lunch. So feel free to approach for any questions. And thank you very much for joining in person this time. Fantastic to see you all and let's have a great year together. Thank you.
Géraldine Picaud: Thank you.